Operator: Good day and thank you for standing by. Welcome to VinFast Auto Limited Third Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Nhi Nguyen. Please go ahead.
Nhi Nguyen: Thank you, operator, and good morning, everyone. This is Nhi Nguyen from VinFast Investor Relations. Welcome to our third quarter earnings conference call. Joining me today are Chairwoman of the Board, Madame Thuy Le; and our CFO, Ms. Lan Anh Nguyen. During the call, we will discuss our third quarter performance, business update and present our outlook for the remainder of 2024. After management remarks, we will have 30 minutes for Q&A. We will also reference a slide deck today, which is accessible on the IR website. Before I turn the call over to Madame Thuy Le, let me remind you that some of the statements on this call include forward-looking statements under federal securities law. These include, without limitation, statements regarding the future financial and operating outlook, guidance, macroeconomics, industry trends, company initiatives, and other future events. These statements are based on the predictions and expectations as of today. Actual events or results may differ due to a number of risks and uncertainties. We refer you to the cautionary language and the risk factors in our most recent filings with the U.S. Securities and Exchange Commission. In addition, management will refer to non-GAAP financial during this call, a discussion of why we use non-GAAP and information regarding the reconciliation of our non-GAAP versus GAAP is available in the PR that we issued this morning. You can also find it on our presentation. With that, I would like to invite Madame Thuy Le to start with management remarks.
Le Thi Thu Thuy: Thank you, Nhi, and welcome, everyone. It's great to speak with you again and to share the exciting developments at VinFast. Q3 2024 was underpinned by a robust September as we recorded our highest monthly delivery ever in our home market. For the first time, Vietnam's OEM, which has been around for only seven years, and only pivoted to a pure EV strategy early about two years ago, has outperformed international competitors to become the market leader. This marks a historic milestone for Vietnam's automotive industry as it now enter a very short-list of countries in which a domestic pure EV player leads the sales chart. It also demonstrates that maintaining flexibility and simply responding to a near-term market opportunity is an effective strategy during the early stages of EV transition. Meanwhile, the calibrations that we made to our international strategy has started to pay off as well. September was also the best month in the history of VinFast North American market, thanks to our growing dealer network and continuous improvement of our EVs. With nine-month 2024 accounting for 55% of the full year target, we expect to finish 2024 on a strong note and reiterate our 80,000 vehicle delivery target. As always, VinFast remains committed to balancing growth and profitability, while being nimble to respond to market opportunities. Now let me discuss our Q3 deliveries in more details. During the quarter, we delivered 21,912 EVs, representing a 66% quarter-over-quarter and 115% year-over-year increase. e-scooter delivery in Q3 were 18,894 representing a 44% sequential increase and a 33% year-on-year decrease, if you count the last delivery of GSM last year or 118% increase excluding delivery of GSM. We also observed Q3 2024 B2C electric car sales grew at a robust 163% quarter-over-quarter and 497% year-over-year. Now let's turn to the drivers of each of our markets. Let's start with Vietnam. With the right product and sales strategy, VinFast successfully set a trend and created a new demand in our domestic markets where retail sales grew 159% quarter-over-quarter and 504% year-over-year in Q3 2024, thanks to our VF 3 and VF 5. For the first time, Vietnam's customers realized that they could have decent, cool looking, strong build EVs at a very reasonable price. VF 3 deliveries began during the third quarter and rapidly gained popularity in Vietnam for its unique personality and practical features including a 10-inch entertainment screen, spacious storage and backup sensors, combined with low running cost and a steady built, customers see it as an ideal fun-to-drive urban car, and the excitement continues to build as eager buyers await their turn to receive their VF 3. VF 5 appealing to both personal and business user is also helping us drive the green mobility shift beyond being a top choice for retail customers. A unique trend is the growing adoption of EVs by traditional taxi operators. This shift is driven by the economic benefits of reduced maintenance and stable electricity costs compared to the volatile gasoline prices. Transitioning to EVs also allow many transportation businesses to lower expenses and improved profitability. We view this as a major step forward in developing sustainable transportation options in Vietnam. We believe our home market holds significant potential beyond the success that you already have seen. And we have observed many positive trends that bring us confidence on its long-term EV adoption. According to the International Organization of Motor Vehicle Manufacturer, car ownership in Vietnam remains low with only 55 cars for every 1,000 people as compared to 82 in Indonesia. At the same time, 35 million people are expected to enter Vietnam's middle class by 2030, significantly boosting the number of consumers with the purchasing power to consider EVs. During the same period, the Vietnam Automobile Manufacturers Association, a forecast by EV ownership in the country will rise to 1 million units. Our home winning strategy in Vietnam give us a solid foundation for our overseas expansion and allow us to develop our strategy expertise to drive long-term excellence. Let's turn now into our international markets, where we have quickly adopted our strategy and utilized our unique position to capitalize on favorable changes in our target markets. During Q3 2024, approximately 9% of deliveries were to international markets versus a year ago when international markets only accounted for 3% of delivery. In North America, we are now managing some own showrooms and have pursued a dealership model as well with 42 showrooms. This has enabled us to gather valuable feedback and market our products to a wider base of customers. Our adaptive enhancement sales offer an industry-leading 10 years warranty owning a VinFast electric car, a more practical and accessible option for those seeking good value solutions. In Canada, we observed three consecutive months of growth in July, August and September, with sales up 70% quarter-over-quarter. With increasingly positive response from this market, we have decided to officially add the stunning seven passenger three-row electric vehicle VF 9 recently on November 19, and we are planning to introduce VF 6 and VF 7 at the right time next year. Many local dealers have indicated that 2025 presents a promising opportunity to launch our new beautifully designed and strong performance vehicles. This should position us to complete more effectively with our industry peers in North America market and address the gap in the market for reliable, reasonably price EVs. In late October, we launched our brand in the Middle East and opened our first UAE dealership in Downtown Dubai, offering a full range of electric vehicles with an integrated service workshop for complete customer support. Let's move back to market closer to us. I'm excited to talk about the new kids on the block. In Q3, Indonesia became official with the first deliveries of VF e34 to customers. VF 5 has also been delivered recently, while VF 3 is planned for next year. VF 5 and VF 3 are our responses to the local market appetite for affordable products which accounted for about two-thirds of the overall market vehicles in 2023. As of October 31, we had successfully opened 17 showrooms with numerous plans in progress to further expand our brand presence and enhance options for retail customers. Dealers who visited our plant and test drove our cars have shown nice surprises and positiveness about our product design and quality. We've been working closely with our prestigious dealership group and other partners to provide customers with attractive purchase options. A strong aftersales support is key to keeping customers satisfied. We have established a third-party partnership to provide 24/7 hotlines for roadside assistance to our customers and set up a part distribution center warehouse under DSV, a logistics solutions provider. Indonesia is an interestingly unique market for us. It is a market with large potential and with many EV players. We have identified two key pillars for our Indonesia strategy. First of all, it's battery leasing. As anticipated, customer response to battery leasing has mirrored what we observed in Vietnam when we first launched EV. This one of a kind offering in Indonesia will remain a key differentiator for our tailor go-to-market strategy, driving a growing wave of early adopters. The second pillar to our Indonesia strategy is our ecosystem. GSM is set to launch in Indonesia soon with anticipated impact expected to be substantial, very much like in Vietnam. Potential customers will have unique opportunity to experience our products in real life before making their purchase decision. This not only enhance VinFast brand and product presence but also integrate the VinFast experience seamlessly into daily life. In addition, the CKD factory is progressing as planned, and our commitment to this market remains unchanged and strong. A quick update on the Philippines. Drawing from success in our home market and similar to the approach in Indonesia, we understand that building a comprehensive ecosystem is key to earning customer loyalty. We have set up a part supply warehouse, established logistics partnership and ensure 24/7 roadside assistant support for our customer in the Philippines. We launched the VF 3 first in the Philippines to leverage our existing product market fit, given the demand for an urban mobility offering that is suitable for Manila traffic, and currently have open for reservation, three models in the market. As of October 31, we have established eight showrooms in the Philippines with three located in Manila and other regions. Before we move on to our outlook, let me provide some updates on our global showroom and charging network. As of October 31, 2024, we had 173 showrooms, up from 130 in June as we expanded our dealership network. In Vietnam, we completed our full transition into local dealer network with all 91 stores operated by dealers. Meanwhile, about 50% of our 82 international showrooms are dealers owned. This approach lowers CapEx and optimizes expansion cost by utilizing dealers-owned locations allowing us to focus on supporting our dealers with marketing activities and leveraging their local expertise to accelerate sales. The impact is already shown in our financials, which our CFO will share later. Meanwhile, VinFast customers access to charging points remain extremely comprehensive in the industry. By the end of Q3, our customers had access to over 1 million charge points globally, either a VinFast owned station in Vietnam or through third-party options internationally. In North America, VinFast customers can access approximately 140,000 smart, public and third-party networks, all easily locatable through the VinFast app. The VinFast app aggregates and simplifies the public charging user experience, it allows users to plan travel roots and easily pay as you go for charging within the app instead of having to use multiple apps and digital wallets for different third-party providers. Looking ahead, there's plenty to be excited about at VinFast. Earlier this month, we announced restructuring and financial support from Vingroup and from Mr. Pham Nhat Vuong, VinFast Founder, which was designed to equip VinFast with sufficient resources at this critical juncture on our journey towards becoming self-sustaining. The loans from Vingroup and grants for Mr. Pham. Amidst currently unfavorable market conditions allow VinFast to stay focused on executing our business plan and avoid fundraising on unreasonable terms. About 2024 delivery targets. As I mentioned earlier, we are reactivating our 80,000 delivery targets for 2024 and with recent performance in October, we believe we are on track. With that, I will hand it over to our CFO, Lan Anh for the financial highlights.
Nguyen Thi Lan Anh: Thank you, Madame Thuy, and hello, everyone. It's great to speak with you again. I'm pleased to share that Q3 2024 was in line with our internal forecast driven by an acceleration in our topline and an improvement in profitability, as gross loss and net loss narrowed significantly. As we discussed in Q2 2024, optimizing costs without sacrificing customer experience remains a top priority. Q3 2024 net revenue was US$512 million, a 42% quarter-over-quarter and 49% year-over-year increase. Our accessible segment, which includes VF 3 and VF 5 accounted for 35% of revenue this quarter, reflecting our continued focus on accelerating EV adoption to a wider population, Q3 2024 gross loss, US$123 million, and gross loss margin was minus 24%, a significant improvement from Q2 2024 gross loss of US$226 million and gross margin of minus 62.7%. On year-over-year basis, Q3 2024 gross loss margin of minus 24% was approximately 300 basis points narrower than the Q3 2023 gross loss margin of minus 27%. The improvement of gross margin over the second quarter of 2024 was driven by increased sales, improved costs and decreased interest to write out the growing value of inventories. In Q3, we continued to see average units bill of material costs for electric costs declined by 8.3% and average unit production costs or electric cars declined by 20.1%. In terms of SG&A, SG&A expense of US$144 million represents a 10% decline quarter-over-quarter and a 23% increase year-over-year. This was still much lower than revenue growth. As a percentage of sales, SG&A was 28% compared to 44% in Q2 as we benefited from economies of scale. R&D expenses as a percentage of sales were 17% or US$87 million. R&D declined 21% quarter-over-quarter and 42% year-over-year. We expect R&D as a percentage of sales to continue to trend downwards in the coming years, given that we have reloaded our product development work. The incremental spending on R&D going forward will be mostly on technological enhancements facelifts and market-specific adjustments. EBITDA and EBITDA margin in Q3 2024 was minus US$232 million and minus 45.3%, respectively, a significant improvement from minus US$484 million and minus 134.4% in Q2 2024 and for minus US$400 million and minus 116.8% in Q3 2023, respectively. On cost savings and higher volume has held our net loss for the quarter declined to minus US$550 million versus minus US$779 million in Q2, narrowing by 29% quarter-over-quarter and 15% year-over-year. CapEx in the third quarter was US$132 million, a 21% increase quarter-over-quarter and a 33% decline year-over-year. The sequential increase in CapEx was due to our investments in wrapping up the contraction in our India and Indonesia factories as planned. Cash flow from operations was minus US$465 million a 42% increase quarter-over-quarter from minus US$326 million in Q2 2024. On a year-over-year basis comparison, though, cash flow from operations improved by 47% from minus US$871 million in Q3 2023. Total cash burn for Q3 2024 was US$596 million. This figure accounts for both cash flow from operations and cash flow from investing. About cash balance and liquidity, we ended Q3 2024 with US$79 million in cash and US$968 million in e-Lock facility. On top of this, we have recently announced an additional capital injection of US$3.5 billion by the end of 2026. This amount includes US$1.4 billion loans from Vingroup and US$2.1 billion grant from VinFast Powder. Overall, I'm pleased by the business result in Q3 and happy that we have a clear visibility on overall financial position to support our growth and profitability plan. With that, I'd like to hand it back to Madame Thuy for her closing remarks.
Le Thi Thu Thuy: Thank you, Lan Anh. Looking ahead to 2025, VinFast is preparing for a growth trajectory similar to what we have seen in 2024. We have started setting our footprint in several new markets this year. It is not the first time we have done so. And with the progress in the highly demanding markets of North America, we feel more confident and more equipped in our further expansion journey. Mindful that we ask you a relatively newcomer in the EV industry, we are taking all necessary steps to remain competitive in the long term. We strive to be nimble in our execution as we stay true to our mission of creating a sustainable future for everyone. Building a sustainable green mobility business is a big undertaking and our recent liquidity boost will enable management to concentrate on executing our profitability roadmap. It does not mean that VinFast will not explore and seize external funding opportunities on the TAM and the deals are right. Producing high-quality electric vehicles is a complex test, one that requires unwavering dedication and fortitude to navigate ongoing uncertainties. Every day, we are learning how to make durable and exciting EV that will be a key part of the global transition to green mobility. The path to green mobility is challenging, but our commitment to this future is resolute because the future is without a question electric. Let us now open for Q&A.
Operator: [Operator Instructions]
Nhi Nguyen: Thank you, Operator. We have the first question from the floor. Can you share any color on your confidence in hitting the full year 2024 target? Given that you have only met 55% of the 80K of Q3, also ramping up to 40K in the last three months can be daunting. Do you see any challenges to production?
Le Thi Thu Thuy: Thank you. We're very confident about hitting the 80,000 targets, especially having seen October and November numbers as well. We had a very robust Q3 number where we hit a number of milestones. We became the number one OEM in Vietnam and have exceeded our internal forecast for deliveries in the U.S. In Canada as well, we saw three consecutive best-selling months. So we continue the traction to solidify our market-leading position in October in Vietnam and for the first 10 months in 2024 in the domestic market. We expect that this momentum will continue through Q4 and like I said, having seen the number in October and November, we're very confident to hit the 80,000 delivery target.
Nhi Nguyen: Thank you. Madame Thuy. We have the next question from the floor. You have talked about BOM optimization for the last two quarters. Can you share more specifics on what areas, are you focused on with regards to BOM optimization, and how does this impact your EV architecture?
Nguyen Thi Lan Anh: Thank you, Nhi. We have a number of planned initiatives for BOM optimization that's undergoing, and the testing and validation phase optimizing and upgrading and electric vehicle, electric - electronics architecture is a complex [indiscernible] that given that the safety is the overarching priority. We also have the look for the discussion with the many long-term relationships with the suppliers that we support, with the better terms - and terms in payment. Besides, we also have the - we are also optimizing some features like ADAS features for various models and better sourcing for the other components that we have the very good result for the negotiation, or favorable material price changes.
Nhi Nguyen: Thank you. Ms. Lan, I see there are some hands for live question. Operator, please open the line.
Operator: Thank you. We will now take our first live question from Andrew Sheppard from Cantor Fitzgerald. Please ask your question, Andrew.
Andrew Sheppard: Hi, good evening everyone. Congratulations on the quarter and thank you so much for taking our questions. Thuy, I was just wondering if you wouldn't mind just walking us through the liquidity one more time. Just given the recent US$3.5 billion capital injection. Can you maybe just remind us when you're expecting, I guess just when you're expecting to receive this and what is the expected cash runway as a result of this recent capital raise? Thank you.
Le Thi Thu Thuy: Good morning Andrew. As we have previously shared the injection of US$3.5 billion we take over a two-year period to 2026, we will disclose the timing and amount from grants and loans as it happens. Our liquidity provision as I just mentioned in the remarks that at the end of Q3, 2024 suited US$1 billion, which includes US$79 million in cash and US$968 million in e-log facilities. We expect conservatively that our cash burn to be roughly in line with the historical spend even as the revenue growth is expected. The use of this for the capital injection will go into our CapEx and debt repayment. The major CapEx items to consider including our factories, ongoing battery leasing expenses and CapEx R&D. For our capital deployment strategy balances near term growth investment, with the long-term sustainability. And our committed capital support, gives us the confidence in executing our growth plans, while maintaining financial discipline.
Nguyen Thi Lan Anh: So Andrew, just to add a little bit to that as you could appreciate that when we did the calculation for all this, all sort of approval at VinFast as well as Vingroup level, we calculated to make sure that we have enough runway, until we get to EBITDA - to get to profitability. Even in the worst case scenario where we cannot raise capital from external sources, we believe this is not going to be the case. We believe that the market will get better. But to give us confidence that we can keep our head down, and focus on executing on our plan, our shareholders have already provided us with sufficient capital, so that we can get to profitability.
Andrew Sheppard: Wonderful. That's super helpful. I appreciate all that detail. Maybe just as a follow-up, there was a very good improvement in gross margins this quarter. Just wondering if you're still on track to achieve positive gross margins next year and kind of what that path between here and there might look like? Thank you.
Le Thi Thu Thuy: For now, we still maintain our forecast for 2025, and 2026. We are in the middle of the budget season right now, and making changes to the five-year plan. So, we expect that we're going to be able to provide more guidance at the end of this quarter.
Andrew Sheppard: Wonderful. Thank you so much, and congratulations on the quarter again. I'll pass it on.
Le Thi Thu Thuy: Thank you.
Operator: Thank you. Our next question comes from the line of Tyler DiMatteo from BTIG. Please ask your question, Tyler.
Tyler DiMatteo: Hi there, thank you for taking the questions. Appreciate the time. I wanted to follow-up on some of the comments in the press release about the responding to increasing demand. But the new EV facility in Vietnam, the completely knockdown concept. I guess I'm just curious to get a little bit more color, on kind of the rationale for that facility. It seems like it's just going to be to manufacture the VF 3 and VF 5, which makes sense given the demand you're seeing. I guess I'm just curious, kind of why pursue this route, and kind of just the strategic rationale here for this new facility? Thank you.
Le Thi Thu Thuy: Thank you, Tyler. We still have a backlog for VF 3. We've been trying very hard in the last months to deliver on the backlog orders of VF 3, but we don't think we'll be able to finish it this year. And the demand for VF 3 and VF 5 continue growing. These are the best-selling models for Vietnamese market. Having seen the other markets like Indonesia, like the Philippines, we see the same trend as well. And we see the excitement for the VF 3, pretty much everywhere globally. So this CKD factory dedicated to VF 3 and VF 5, is to meet the growing need, for those affordable models.
Tyler DiMatteo: Okay. Great. And then just to follow-up here on the India and Indonesia facilities. I guess given those comments, how does this maybe change, how you think about the production capabilities of those two facilities? And then also on those two, at this point, what's still left to be completed on those two to get them up and running next year?
Le Thi Thu Thuy: So the India and Indonesia facility, are still necessary for the tax reason in those countries. So these are the countries that are quite yes like a very protective of the domestic manufacturing. So having the facilities in those markets are necessary, to be competitive. The new CKD facility in Vietnam, are meant to meet the need for mostly domestic markets, and maybe some other markets as well. So they are complementary with each other.
Tyler DiMatteo: Okay. Great. Thank you for the time. I really appreciate it. I'll turn it back to the queue.
Operator: Thank you. I'll now like to hand back to the room for questions on the floor.
Nhi Nguyen: Thank you, operator. We have the next question from [Thuc-Thanh]. In the nine months 2024, what is the contribution of the Vietnamese market, to overall car deliveries for 2025? How many EVs or expected growth versus 2024, do you project to deliver? And what will be the projected split between Vietnam and international markets or B2C and B2B channels?
Nguyen Thi Lan Anh: Nine months 2024, Vietnam contributed around 90% as the markets continue to be a stronger foundation, driving our growth. I mean VinFast in Vietnam market we saw nine months of 2024 result is very encouraging. We grow 504% year-over-year. This is also the highest year-over-year growth in the Vietnam industry, and also the significantly higher than the other players. So for the 2025, internally we are in the process of reviewing 2025 business plan and the budget. We will not providing the formal guidance, until around end of this year or early next year. However, what we can share, is that we expect increasing market share in Vietnam, to be one of the strategy starts would continue.
Nhi Nguyen: Thank you, Ms. Lan Anh. We have the next question from the line. Can you elaborate more on the finance lease for the new factory?
Le Thi Thu Thuy: Okay. So the new facility, is on the long-term lease structure similar to the sales lease by, cutter structure where we don't have to invest initial capital, and we pay the lease on annual basis. And we have the option to buy back - to have the option to buy the facility from the lessor in the future. This structure allows VinFast to carry out prudent management of capital, and enabling the company to allocate resources efficiently, while balancing growth and profitability.
Nhi Nguyen: Thank you. Madame Thuy. We have the next question regarding ASP trends. Can you comment about your ASP? Is VinFast overly focused on lower price models and targeting lower income countries?
Nguyen Thi Lan Anh: In Q3, ASP was US$21,000 per unit, compared to US$24,000 per unit in Q2, a decline of over 10% in ASP, driven primarily by we introduced VF3 into the mix. We expect to see ASP remaining range during the early adoption stage, where customers tend to prefer small cars, low price tasks to explore and experience. We expect ASP to pick up once the early adoption wave is done, and customers are more comfortable with EVs. First becoming more willing to pay for higher price bigger cars. However, ASP one, is only one part of the equation. The other part is unit growth. Our objective introduction of the more affordable models, is to capture a particular underserved cohort of consumers that prioritized value in both dollar terms and environmental impact. So ultimately strong unit growth should offset with the ASP decline, and lead to the sustainable revenue growth.
Nhi Nguyen: Thank you, Ms. Lan Anh. We have the next question from the floor regarding VF9 in the U.S. Exciting to see that VinFast introduce another model in North America, especially at the time when your peers seem to be retreating or putting their EV plans on hold. Can you share what the initial dealer feedback has been on the VF 9 and, which models will the VF 9 be competing with, is your target demographic for the VF 9 different from the VF 8?
Le Thi Thu Thuy: Thank you so Vietnam has been a long awaiting model in the U.S. If you recall originally two-third of the pre-orders in the U.S. were for the VF 9. Vietnam is one of the very few seven-seater, three row electric car models on the market. Globally we believe that the VF 9 will be an ideal vehicle for large families delivering the premium quality and luxurious experience while maintaining excellent value, and it's going to be a good product for the market in the US. Adding the VF 9 will help us widen the customer base in North America market where there are currently quite limited choices for quality and reasonably priced three row EVs.
Nhi Nguyen: Thank you, Madame Thuy. Next question from the line regarding comment on related party customer, GSM. Can you share the deliveries to GSM in the third quarter '24 as well the guidance for future deliveries to GSM? Thank you.
Le Thi Thu Thuy: For GSM in Q3, 2024 account for 22% of the - our total volume less than the Q1, because you - as you may remember that in Q1, GSM accounted for 46% of the total volume. So in the total nine months of the 2024 total volume from related party is much less significant than it was in last year 2023, like 38% versus 72%. So we see that the GSMS B2B customer has been shortly - had pushed for the EV adoption. Bringing VinFast EV closer to the consumers through real-life experiences, building a brand awareness, not just in Vietnam, but also in the markets that GSM expanding into - as we have been able to grow our customer base, we also expect our GSM contribution to the VinFast revenue, will be less significant in 2024, compared to 2023.
Nguyen Thi Lan Anh: Can I share a little bit about the GSM - because last year, I remember we had a lot and a lot of questions about related party transaction, why you had 72% of your sales to your related party. And this is exactly how we explained it last year, and turn out to be exactly that way. GSM help us get the customer into the vehicles, get them familiar with the EVs, and help itself more to the retail customer. And this happened, I mean, it increased like almost six-fold compared to last year, the sales to retail customer in Vietnam. Another interesting fact is actually other taxi companies in Vietnam, started buying EVs now that they see - they can save - I mean, some of the taxi company told me that we can save like up to 38%, 40% of operating costs within diesel. We have contract with like 120 different taxi companies in Vietnam, so like 90-something percent of the taxi companies in Vietnam, some of them have few cars, some of them have contracts for like 3,000, 5,000 cars in a few years. So GSM was great and has been great to us - and the introduction of GSM in other markets also expect, to have a similar impact. We might sell to GSM a little bit more at the beginning, but bring us a lot more results, by bringing the retail customer and B2B customers.
Nhi Nguyen: Thank you, Madame Thuy. Back to the operator. Please open the line.
Operator: Thank you. We will now take our next live question from Dan Ives from Webs. Please ask your question, Dan.
Dan Ives: Yes, thanks. So solid progress to the team. So can you talk about what the - as we think about 2025, what the ramp is going to look like when you think about in Indonesia in the U.S. Like is that going to be something where it's more of like a second half ramp? Or first, can you just maybe talk about as much as you could explain as we go into 2025? Thanks.
Nguyen Thi Lan Anh: Hi Dan, so 2025, we still think that Vietnam in will contribute a significant path to the deliveries in the year. And it's actually a good thing that we have Vietnam as the whole market, the deflation market that allow us to get closer to profitability. We also expect - we just barely started in Indonesia in the Philippines. Next year, we're opening in India. We continue having traction in North America, the Middle East as well. So we believe that next year, we're going to expand further in international markets. We need to balance between growth and profitability. So that balancing act will continue into next year as well.
Dan Ives: Okay. Great. And then Vietnam - does it feel like going - I guess we go - as you to going into 2025 versus 2024, does it feel like you have like a better line of sight in terms of like deliveries, growth variability as we go into '25 versus '24 can you just compare? Thanks.
Le Thi Thu Thuy: We started gathering a lot of momentum in Vietnam. In September, we celebrated the first time in Vietnam and in probably in the history of many countries that are local OEM other international brands in Vietnam. We were ahead of Toyota, we are ahead of Honda. October, we affirm that number as well. I think in Vietnam, we hit about 115,000 deliveries in in October alone - in Vietnam alone. And Toyota, it was like 9,000, something like that. So year-to-date, we are ahead of everybody else in the market. EV and internal combustion engine combined. So that momentum, and we started feeling the momentum people started - just started talking about EVs and started moving to EVs. So you can feel very clearly, the sentiment and the momentum on the market. And we don't even - we didn't have all the models for the whole year in Vietnam, right? So we think that next year, it's going to be a good year for us in Vietnam, with all the models out a lot of issues fixed, and all the momentum that we have altogether in 2024. So this year, we anticipate that by the end of the year. We're going to have about a little bit shy of the quarter of the market share in Vietnam for the whole year. Next year, maybe we get 50% of market share, who knows, but that's the target and in addition to that, we would continue growing international markets as well.
Dan Ives: Thank you.
Operator: Thank you. I'll hand back to the room for questions on the floor.
Nhi Nguyen: Thank you, operator. We have the next question from the line regarding charging solution in new market. Could you let us know how you intend to be competitive overseas when it comes to charging and related services?
Le Thi Thu Thuy: So at VinFast, we can see the services a very important factor for the EV experience. So we keep repeating good quality products. Affordable pricing and excellent after-sales service, so that we are leaving, we staying true to that. And we build our brand loyalty through our battery leasing to warranty packages and add-on connected services as well as charging solution. VinFast vehicles have through V-Green to our sister company, which was part of VinFast before, have a connection to more than 1 million charging points all over the world. We have access to VinFast customers have access to more than 90% of the smart public third-party testing stations in the U.S. We have access to about 900,000 charging point in Europe in Vietnam, V-Green charging network is growing very quickly and is expanding to other markets as well. The good thing about VinFast charging is the VinFast charging is the VinFast app aggregates and simplifies the public charging user experience, update live data to every minute, and allowing the user to plan the charging routes, and easily pay as you go for charging within the app. So instead of having to use multiple apps and different digital wallets for different third-party providers. So we continue experiencing the - we continue improving on the changing experience for our customers.
Nhi Nguyen: Thank you, Madame Thuy. We have the next question from the floor. What are the main international markets contributing to sales in nine months 2024 and, which models are driving those sales?
Nguyen Thi Lan Anh: So for the international markets contributing the main to the sales in nine months 2024. We account for the North America. So the model is to VF 8 at a sold model. But we have just introduced VF 9 to this market. And we see that the North American market now has started to pay-off that, for the calibration that we made. In September, September was also the best month in the high history has been for North American market, thanks to our full growing dealer network and continuous improvement in our EV. Taking Canada is an example. We observed three consecutive months of growth in July, August and September.
Nhi Nguyen: Thank you, Ms. Lan Anh. We have the last question from the floor. What are the key milestones we should be on the lookout for the remaining months of the year or heading into 2025?
Le Thi Thu Thuy: Well, so I think in 2025, we continue focusing on the domestic market. This is like a very, very important for us. But the groundwork that we have laid in 2024 for international strategy, we continue to gather momentum in 2025. Firstly, we continue to diversify our product offering in North America, with the recent delivery of VF 9 and we're looking to add like a VF 6 and VF 7 to the market next year. Secondly, we have put in place two key levers for our Indonesia strategy. Battery leasing, which is already being offered in the country, and get a lot of interest and the upcoming launch of GSM in Indonesia as well. For the Philippines, we expect to take the same approach as Indonesia. We also have new CKD facility in Indonesia and India coming online in 2025, which will be an integral part to our international strategies and allow us to be competitive in these two important markets. And finally, in 2025, we planned our first ever Investor Day in the first half of 2025. So we hope to be able to see a lot of you, and I hope to introduce our leaders and different people for a management team to the investment community in New Year.
Nhi Nguyen: Thank you, Madame Thuy. That was the last question we got from the live today. Thank you, everyone, again, for joining VinFast and for your continued support. If you need any clarification, please don't hesitate to let us know by sending an e-mail to ir@vinfastauto.com. Goodbye and take care.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.